Essi Lipponen: Hello, and welcome to Fiskars' Group's Q4 and 2023 Results Webcast. My name is Essi Lipponen, and I'm the Director of Investor Relations. I'm here with our President and CEO, Nathalie Ahlström, and our CFO, Jussi Siitonen. Nathalie and Jussi will first go through the presentation and some highlights. And after that, we will have plenty of time for your questions. You can type in your questions in the chat already during the presentation. Go ahead, Nathalie.
Nathalie Ahlström: Thank you, Essi. I'm delighted to be here to talk about 2023 and our Q4. If I start with the highlights of last year and Q4, we're really proud to say that this was an all-time high cash flow for the company, and Jussi is going to talk about that more later. And 2024 -- sorry, 2023, we finished as we had guided, so came spot on in that. When we look at how we're taking the company forward strategically, transformation levers and Georg Jensen are delivering, and the integration of Georg Jensen is going really well. So, we are executing the strategy. Following the strong cash flow and our strong cash position, the Board is proposing an increasing dividend of EUR 0.82 per share. And then guidance for 2024. Our guidance is the EBIT will slightly increase from last year's level in this environment. But let's look into the details. So, Q4, very much in line with the guidance. Our top line was flat. And when you look at the EBIT, we see an increase that comes from Georg Jensen that was integrated into the Q4 results of the company. The highlights of Q4 are really gross margin. Yet again, we managed to increase the gross margin of the whole company. And these talks about how we're elevating the portfolio, elevating the company as we go forward. I spoke about the all-time high cash flow and that is also with the EBIT. And the cash flow translates into increasing earnings per share and cash earnings per share, both of these increasing quite significantly in Q4.When we then look at the full-year 2023, we see a bit more challenging picture. Top line came down 10%, and also as a consequence then, the EBIT came down. As I said earlier, where we are happy and proud is of the gross margin that is elevating the portfolio upwards, and of course, the all-time high cash flow. And when we look at the delta from last year of EUR 285 million in free cash flow versus last year, that's quite a good achievement in this environment. I'll continue talking about cash and a strong cash position. And that is what enables us to increase the dividend, also the healthy balance sheet that we have in place after the Georg Jensen acquisition. Our dividend yield is 4.6%, which we find is a good one. And when we look at the CAGR of our dividend, how it's increased in the last 5 years, the CAGR is 10%. And with the strong cash, we have a healthy payout ratio. Then looking into the businesses. When we look at Vita, Vita, we could say had a tough Q4. We had -- yes, top line came up, thanks to Georg Jensen, but overall wholesale continues to be challenging for us in Vita. The good things are that e-com continued to grow, which talks about the love of the brands, the power of the brands, consumers wanting experiences coming to our e-com sites and e-com growing in Vita 5%. China continued fantastic execution with the local management in Q4 growing 26%. And as mentioned many times already today, Georg Jensen integration, of course, supported Vita in Q4.Then looking at Fiskars. Fiskars really had a strong Q4. Net sales was slightly up, part of that due to phasing, but also thanks to snow, which talks yet again about our broad portfolio that we are having that now when it's a snow-rich season. The snow helped the net sales up in the snow tools. And following that, also the EBIT. Strong delivery from the team of the EBIT, where gross margin is going up and very good cost management as the business has shown already quarter after quarter. So good performance for BA Vita in Q4 and for the whole year, actually, as well. Then about our strategy. We are very focused on continuing to deliver our strategy quarter after quarter. And as we said in Capital Markets Day, it's not only about the growth strategy and the focus we have there, the prioritization, but also the portfolio logic, the sharpened logic, how we actively, as a management, actively manage the portfolio of brands we are having. An active portfolio management to us means how we are allocating investments in allocating resources and time to the brands that are going to accelerate the growth of the company and also a solid foundation of the company. The transformation levers continue to help us, focusing what really transforms the company and we see that the key KPIs are delivering and again, elevating the portfolio that we are having. And finally, on the growth strategies enablers that help us to simplify the way we are operating and also driving the key things that are important for us; people, digital, innovation and design and sustainability, all core enablers as we go forward. Looking at the transformation levers, how did we deliver on them? Where are they tracking? And I'll now comment on full year. You see here also the Q4 figures. But full year on commercial excellence, where we are talking about, how can we not only elevate the positioning of the brands, but also being more efficient on the cost side. We saw gross margin increasing 190 basis points over the year. Direct-to-consumer, continuing good, especially e-com, over the whole year growing 14%. So, true growth driver for us in e-com. And today, direct-to-consumer for the full year is 25% of the whole company. So, already a very sizable portion that's changing also the profile of our company. Then U.S. has been a challenge for us, actually quite many quarters already. And when we look at the full year and then versus Q4, we see that Q4 was slightly better. Some of that is also due to phasing of orders from the big retailers in the U.S. So, we continue to focus on U.S. and of course, getting it back on track. And then China, as I said, full year, 25%, fantastic growth, thanks to our fantastic local management who are really focused on accountability and delivering in a tough market in China as well. We're not only transforming the company through these transformation levers. Sustainability is also at the core. It's our DNA sustainability. And when we look at the metrics of ESG targets that we are reporting on a quarterly basis, we see that we have good progress across the metrices. One where we are especially proud of is the share of circular products and services of our total net sales. And we -- 3x, we tripled that share during 2023 from 5% to 14%. So, that means that we are really here to protect the planet looking at biodiversity and ensuring that we more and more use recycled products in our finished goods. We also get external recognition. And you see here down the external recognitions we have gotten last year and happy to report the CDP for 2023, which is A-minus. So, also externally well recognized, and we are proud of this progress that we are showing. Then other highlights of the quarter. Of course, Georg Jensen acquisition that was completed first day of October and then fully Q4 in our books, and also the success of the sustainably-linked bond that was issued. I mentioned earlier that we are simplifying the way we are operating, and this shows in how we are organized today. We have strong BAs, BA Fiskars, BA Vita that are full P&L responsibility. And it's important for us that this is how it is because accountability is aligned. It's simplified. And then that way, we are the closest to consumers, closest to the brands, knowing what is needed in the single different brands. So BA Fiskars, BA Vita, they are the ones setting the agenda for how we are running the company. We have scalable platforms that help us with cost synergies, capability synergies across the company. That's logistics, sourcing, digital and IT. And the group is there to be active portfolio manager, allocating investments and resources according to our portfolio roles. During the last quarter and in totality in 2023, we've announced quite many organizational changes and streamlining changes. All those have been completed in full. Then looking at the ownership culture. For us now when we say it's all about the brands, it's about BA Fiskars, BA Vita. It's important for us that we have a feeling of ownership culture in our organization and this entrepreneurial spirit. We have the second wave of MyFiskars, which is ownership share plan for the employees. And today, 13% of all employees have signed up. And in the offices, it's every 1/3. 32% of all employees have signed up to MyFiskars' employee share savings plan that we have in place, so every 1/3 in the offices. Then talking about innovation, also agility. We launched the first product in FiskarsLAB. This is on our fiskers.com page, talking about fast-tracking innovation. Innovation, where we also can test and learn and listen to the market what's relevant in the Fiskars' brand space. So, very good commercial success of the first launch in FiskarsLAB. Then the guidance for 2024. We are guiding that we are going to slightly increase our EBIT compared to last year. The assumptions behind the guidance is that the operating environment where we are today continues to be challenging. And we continue to see a special impact of this challenging environment in the first half. Consumer sentiment is uncertain. Also, what is hindering us is the wage inflation. We had significant wage inflation last year. And this year also, we continue to see the wage inflation being there impacting us. On the positive side, as I mentioned earlier, we had the organizational changes and these savings that came from the organizational changes, we are starting to see the impact of them to support our EBIT. Thanks to the acquisition of Georg Jensen, we see, of course, the impact from the profit side, which was already in our Q3 -- Q4, sorry, last year. But with Georg Jensen in our figures, we should see a bigger shift towards the Q4 and the later half of the year -- of the nature of Georg Jensen. So, that's our guidance for 2024.And with that, I hand over to Jussi.
Jussi Siitonen: Thank you, Nathalie, and hello, everyone. Let's start first with our Q4 comparable net sales here. As Nathalie mentioned, our Q4 like-for-like basis was quite flat there versus last year. And then reportable -- on a reporting basis, thanks to Georg Jensen, we reached this 13.7% growth in Q4. This also highlights the importance, what we had when we acquired Georg Jensen to get the Q4 into our numbers. So on a full-year basis, Q4 is almost 40% of net sales in Georg Jensen, which is now consolidated into our numbers. When it comes to BA Fiskars, as mentioned already, it was snow in the Nordics and then low comp in the U.S., which were contributing to this mid-single-digit growth what we had in BA Fiskars. That's mainly all wholesale business, what we have in Q4 in BA Fiskars, whilst in BA Vita, which was down this 4.5%, the roughly 50% of sales were in direct-to-consumer, which was quite flattish, and then all negative came from retail or wholesale business. Then on EBIT. So on a like-for-like basis, our Q4 was flat versus last year. So BA Vita and BA Fiskars, they were offsetting each other and then slight negative came mainly from this other segment there. If we break this down to the components, the organic gross margin was slightly down in Q4 due to the phasing in our supply chain, impacting cost of goods. This is nothing to do with pricing. So, pricing remained unchanged there, but this is phasing of approximately EUR 5 million of cost we took in Q4 instead of 2024. So, that makes the big difference there. OpEx was down, mainly driven by marketing expenses there. In SG&A, it was down only slightly. So the offsetting items due to the inflation took the savings off there. But as said, pretty flat versus last year like-for-like basis. Here, you can also see the importance of this Georg Jensen. So, EUR 12.2 million of EBIT came from Georg Jensen in Q4. And as Nathalie mentioned, it's very much year-end loaded type of business, especially Q4 loaded business, which almost 100% of profit is coming later in the year, mainly in Q4.Then on cash flow. As already mentioned, this was all-time high full-year cash flow of EUR 185 million, what we had in 2023. Admittedly, part of that is kickback from the previous year when we made minus EUR 100 million. And now we succeeded to melt down the huge net working capital accumulated in 2022. So, we got that now down. So, we were there at almost EUR 290 million improvement versus year ago. The long-term target, taking out this kind of ups and downs, i.e. this volatility, what we have had there is still unchanged. So, long-term target for free cash flow is in the range of EUR 80 million to EUR 100 million per year. On trade working capital, we continued reduction in the trade working capital driven by inventories. So, we were quite flat versus a year ago, end of 2022, but that includes already the Georg Jensen net working capital. Excluding that one organically, we were EUR 127 million down versus the same period year before. Now, we are getting back -- in terms of net working capital, net sales organically, we are now back in December 2021 level, which means that this increase in net working capital we experienced in 2022, we have now succeeded to melt it down. So, that's now compensated fully. The acquisition impact on our leverage, was, of course, quite significant. And at the time of the acquisition, we anticipated that we get it back to the targeted level of 2.5x net debt to EBITDA. We succeeded to do that in one quarter. So by end of last year, we were already at this 2.5x level, thanks to the strong free cash flow. On balance sheet, our organic capital employed went down EUR 88 million. Asset efficiency decreased what we have. It's temporary due to Georg Jensen acquisition, full balance sheet in and only 1 quarter of sales. Balance sheet remains solid after the acquisition and liquidity is strong. The cash and then all unused facilities what we have in place totaled EUR 430 million at the end of the year. Then when it comes to our long-term financial targets, all 4, be it organic net sales growth, be it EBIT margin, be it cash flow or balance sheet. So on cash flow and balance sheet, we are back on track. We are plinking green there with those 2 targets. On EBIT and net sales, net sales down organically 9.7% and EBIT, a bit shy of 10% there at the end of last year. Of course, they are not yet at the targeted level there. Taking a longer-term view, eliminating this kind of volatility there, we can see that the cash flow and balance sheet targets are based on the fundamentals we have put in place, and they are delivering the targeted level. So now it's focused on profitability improvement and the net sales when the market turns. With that, giving back to you.
Nathalie Ahlström: Thank you, Jussi. And I think you've heard us saying all-time high cash flow, but I just want to say it again, all-time high cash flow in last year, and then sales and EBIT in line with our guidance. When we look at how we are enhancing the profile of the company, the transformation levers continue to deliver commercial excellence, direct-to-consumer and China. And Georg Jensen integration is proceeding well and also enhancing the portfolio in the luxury segment. Following this good development, the Board is proposing an increased dividend to EUR 0.82 per share. And then the guidance for this year. We see the comparable EBIT to increase slightly above the 2023 level. Thank you.
A - Essi Lipponen: Thank you, Nathalie and Jussi. And now we can start with the questions. We do have quite many questions already. So maybe I'll start with the guidance and if you can take this, Nathalie. There is a question. Could you give more color why you see adjusted EBIT only up slightly despite; first, 2023 was a tough year with inventory clearance; second, you announced 2 cost savings programs in 2023, which aim to save EUR 55 million annually; and third, you have the Georg Jensen synergies? So could you explain a bit?
Nathalie Ahlström: Yes. If I start with the -- thank you for the question. If I start with the inventory position, that is, of course, globally, not only us, but in our supply chain, everybody has come down on inventory. And we don't see a change in that. We even foresee that this could be a new normal for a while as we go forward that everybody is very careful about the inventories in this high interest rate environment. Then about the headcount reductions that we've done. Yes, we've reduced in a net position, 10% of our workforce last year. 10%, that's quite a sizable reduction we have done. However, now with a significant wage inflation also last year and this year, not all of that is coming yet in. And then the last question was about?
Essi Lipponen: Synergies.
Nathalie Ahlström: Synergies, yes. Synergies from Georg Jensen. The synergies from Georg Jensen. And in the Capital Markets Day, I promised that in the Q2 reporting in July, I will come back about the synergies to Georg Jensen. At this point, I'm just saying it's proceeding really well. The integration is proceeding well. We are delivering on all the metrices. And as we promised, in totality, over the years, we're going to deliver EUR 18 million of synergies. So, that's well on track for the years to come. One more small point on the guidance. Many of the enhancements and improvements we've done are also COGS-related. So, workforce in the factories and efficiencies in the factories. And now as long as the volumes due to consumer sentiment is still low, we don't get the benefit of those yet until the consumer sentiment and the macroeconomics is up.
Essi Lipponen: Yes. Maybe a follow-up on the same topic. How much organizational changes are expected to support EBIT this year?
Nathalie Ahlström: Well, we have the ones we've announced last year. And then in -- when we announced Georg Jensen integration or the deal, there also, we talked about the synergies. So, those are the ones that we have in place and are delivering on.
Essi Lipponen: Yes. I think we haven't given any exact numbers, how they will be visible considering the wage inflation. Just a moment. I'll see what would be the next topic. Maybe if you continue, Nathalie, can you explain a bit more the significant EBIT drop in Vita excluding Georg Jensen?
Nathalie Ahlström: Yes. That's a very good one. When we look at Vita, volumes in wholesale were down. And when the volumes are down, we are not flexing fast enough our profitability. And what is challenging in Vita is also that our big glass factories, which are process industry, there, we then have inefficiencies in the factories when volumes are down.
Essi Lipponen: Yes. Exactly. Maybe one for Jussi about cash flow. Q4 cash flows were strong. How much further improvement potential you see within the net working capital?
Jussi Siitonen: We do have potential there. So as I said, now we have succeeded to melt down the 2022 glut what we had in working capital. The targets have been set so that, first, let's figure out how we get to pre-COVID time of levels and then further. So, we have clear targets in our strategy. What's the targeted net working capital efficiency numbers? So, I believe we talk about EUR 80 million, 100 million even, what we have still further potential there in the net working capital, not necessarily coming in, in 2024, but in next 2 years, 3 years.
Essi Lipponen: Yes. Okay. Maybe, Jussi, if you continue about net debt, it went up last year. With the current interest rate outlook, would you consider lowering debt levels in 2024?
Jussi Siitonen: As said, when we give a approx guidance for net debt after Georg Jensen acquisition, we said that we should get back to the 2.5x net debt to EBITDA level by end of 2024. Now, we did it in one quarter, thanks to the strong cash flow. We are in a situation where we continue focusing on net debt reduction. How much to get it down? We need to follow our own strategies there, especially with net working capital. Also, I could remind that on top of the EBIT and profitability, cash flow is also very much second half heavy. So typically, almost 70% of cash flow is delivered in the second half versus the first half. But further potential, we still have.
Essi Lipponen: Okay. Then back to you, Nathalie. If we continue about this year and how does it look in the market. So, we are saying that the market conditions will be challenging especially in H1. Should we expect H1 comparable EBIT to decline year-on-year?
Nathalie Ahlström: What we have said in the guidance that we see exactly as you're saying the question, we are seeing that first half is much weaker. And what we also say following the Georg Jensen acquisition that we are much more Q4 heavy going forward. So the quarter shift has happened now following Georg Jensen.
Essi Lipponen: Yes. And continuing on the outlook, Nathalie, when considering different business areas and geographies, is the outlook similar across the Fiskars Group brands?
Nathalie Ahlström: Yes. Yes, it is. Just the only difference in Vita following Georg Jensen, even in Vita also, of course, the Georg Jensen emphasis on Q4 becomes even bigger. But the outlook, the consumer sentiment is same, yes.
Essi Lipponen: And do we expect the more luxury brands to develop similarly than the other brands?
Nathalie Ahlström: Yes. Luxury are much more resilient in a tough macroeconomic environment. And we saw that also last year and continue to deliver on the portfolio roles, where we say that the luxury brands Georg Jensen, Royal Copenhagen and Wedgwood are where we accelerate and we're investing. We're putting resources behind them. Then we have Fiskars anchor brands. So, yes, that will also play a part in this. So not only the external market, but also our internal actions, how we're investing behind the luxury brands?
Essi Lipponen: Yes. Related to luxury, maybe, Jussi, if you take this one. What is the geographical sales split of the luxury portfolio? Does it differ much from the group geographical sales split?
Jussi Siitonen: Of course, our luxury is very much exposed to Asia, exposed to China there, Wedgwood, Royal Copenhagen, they are strong brands in China. So it's very much Asian heavy, so to say.
Essi Lipponen: Yes. Okay. Let me see. Okay. Nathalie, one for you. In the Fiskars BA, how much phasing supported top line? And should we expect this to be reversed than in Q1?
Nathalie Ahlström: In Q4?
Essi Lipponen: Yes. How much did it support in Q4? Should it reverse then in the next quarter?
Nathalie Ahlström: Yes. We said that in Q4, top line in Fiskars BA came up, thanks to phasing and then also the snow situation in the Nordics. So, I wouldn't take this that top line went up, that this is a sign that now retail has started to increase inventory. This was phasing.
Essi Lipponen: Yes. Okay. Jussi, then one for you. Given your financials are quite messy this year with the one-offs, can you give some indication of your assumptions for the depreciations and tax rate?
Jussi Siitonen: When it comes to depreciation, we are now at level of roughly EUR 60 million there, including also a small additional depreciation, thanks to this Georg Jensen acquisition. So EUR 66 million, EUR 65 million is the level there. When it comes to tax rate, admittedly, it was unsustainable low now in 2023. We have good reason there, partly relating to this acquisition also. Our effective tax rate last year was 12%. The sustainable good proxy for years to come is still in the range of [ 22% ], 25%.
Essi Lipponen: Okay. Thank you, Jussi. Then back to Nathalie again. Will the group be considering new acquisitions this year? Any focus areas in these?
Nathalie Ahlström: Thank you. I love the question. We are now laser focused on Georg Jensen, and delivering on the EUR 18 million of cost synergies in Georg Jensen. So that's now the focus, the only focus in terms of M&A. And then when I come back in end of -- or in Q2 in July, then we get the feeling of where we are going with the integration and the way forward. Of course, it's very encouraging that like Jussi said that we got the net debt and we got the acquisition paid in one quarter. So, we have the firepower.
Essi Lipponen: Yes. Jussi, then some cost-related questions to you. Can you elaborate key cost item developments this year?
Jussi Siitonen: 2024, you mean?
Essi Lipponen: Yes.
Jussi Siitonen: Yes. So as Nathalie mentioned, we faced this salary cost inflation last year, mainly starting from Q2. It will continue. Now, we will have a full year of this higher salaries from last year. On top of that, we are expecting roughly mid-single-digit additional inflation in salaries this year. So, that's the biggest single cost item what we have.
Essi Lipponen: Yes. Maybe continuing, related to cost savings, not costs per se, but what part of the cost savings materialized in Q4?
Jussi Siitonen: In Q4, it was a minor part. As said, we had those role reductions last year. So, these are clearly to get them completed. The impact was not significant yet in Q4. They are mainly coming for this year, partially in SG&A, partially in cost of goods. So the minor impacts what we had were mainly relating to external services we terminated earlier in the year.
Essi Lipponen: And then let me see what would be the next one. Back to Nathalie. Is there any impact of the Red Sea disruption in your business?
Nathalie Ahlström: We are monitoring the Red Sea situation on a daily basis. Nothing extraordinary. We are used to all kind of disruptions. And so far, it's all good. We have a team who's daily working on that. And the impact financially is minuscule at the moment.
Essi Lipponen: Yes. Jussi, a question related to the acquisition purchase price allocation. You published more information about it last month. Could you elaborate the details a bit more? It's quite technical topic.
Jussi Siitonen: Indeed, it's quite a technical accounting topic. So let me try to explain it. Actually, there are 2 elements. One is this fair valuation of the acquired assets called PPA. So when we acquired Georg Jensen, at the time of the acquisition, we had to fair value to acquire net assets, and it turned to be so that the net asset value was higher than what we purchased for them, the purchase price of what we paid for this purchase. So therefore, higher the value asset, less what we paid for them. We turn to have this negative goodwill, which, of course, you need to release immediately in your P&L as an income. That's, by the way, one reason why the tax rate was so low because this positive impact from acquisition, we are not recognizing any taxes on that one. So, that was the first part.The second part -- and actually, I think we have a slide even for that in our appendix that hopefully help with this one. So when you have fair value to assets and when you have allocated fair value to the amortizable assets, you need to start amortizing this fair value there. And big part of this fair value was allocated to inventory. And now we are amortizing that value based on the asset useful economical lifetime. For inventory, for Georg Jensen inventory, the inventory turn is roughly 1 year. So in Q4, we amortized 1/4 of this fair value. And now, year-to-date September, this year, all fair value adjustment is amortized. So actually, what you can see here on the screen is then the impact from Q4 2024 onwards. Hopefully, this explains.
Essi Lipponen: Yes. And if you have any further questions, we are, of course, happy to help. We still have a couple of questions here. One about our mid-teen EBIT margin. If you want to take this, Nathalie. In November, you just reiterated, this mid-teen margin target for 2025. Now, this guidance for 2024 indicates quite limited margin improvement. Does this mean you expect a huge margin pickup in 2025 to be even close to the financial target?
Nathalie Ahlström: Thank you for the question. And yes, we said that we keep our mid-teen target for the EBIT margin, and we are firmly driving towards that. And that's why I also talked so much about commercial excellence and direct-to-consumer because when we get the gross margin up and we have much more of the business in direct-to-consumer channels, when the volumes are back, that really elevates the business to a totally new level with a quite significant gross margin improvement that we've had in the last years.
Essi Lipponen: Yes. Then one on ESG. You want to take that, Nathalie? Well, first, how important is ESG in your business? And the second one is, are there any new group-wide ESG initiatives to be expected this year?
Nathalie Ahlström: On ESG, it's the heart of what we are doing. In our business, in consumer goods, it's in our DNA, I would say. And it comes also from our purpose, talking about pioneering design, and it's not only design, it's also how we design the products, what they are made of. We, this year, turned 375 years as a company, Fiskars Group. ESG ensures we are having the next 375 years. So, it's extremely important in everything we do. And that's why we are so proud also to show this good progress. Then any new initiatives for this year? No, we'll continue to drive all these important metrices, the circularity, CO2 Scope 1, Scope 2, Scope 3 and then the social impact. So, clear action tracker that we are delivering and ensuring that we're going to meet our targets.
Essi Lipponen: Yes. Then the final question, at least for the moment, is -- if you take this, Nathalie, what are the group's most important next steps for the financial performance development in 2024?
Nathalie Ahlström: Good question. We have our strategy. It's the transformation levers we have in place, so the growth strategy, transformation levers. In addition, we have the portfolio roles -- sorry, I was stopping on wrong slide here. Portfolio roles, that talks about where we allocate the money, the investments, the resources. Then third element of the most important is how we operate. The simplified way of operating where the brands are in the center. It's BA Vita, BA Fiskars that are driving. We get the synergies in capability and cost synergies from the scalable platform, and then we have group. So transformation levers, the growth strategy is one, then portfolio roles, actively portfolio management and then how we operate. So, that's a whole framework, how we are working.
Essi Lipponen: Yes. It seems that we don't have any more questions. So, I think it's time to thank our audience for the active participation and the questions. And if you have any further questions, we are here to help.
Nathalie Ahlström: Thank you.
Jussi Siitonen: Thank you.